Operator: Welcome to the First Calendar Quarter 2015 Gildan Activewear Earnings Conference Call. My name is Lorraine, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Ms. Sophie Argiriou. Ms. Argiriou, you may begin.
Sophie Argiriou - Vice President-Investor Communications: Thank you, Lorraine. Good morning, everyone, and thank you for joining us. Earlier this morning, we issued a press release announcing our earnings results for the first calendar quarter of 2015 and our interim shareholder report containing management's discussion and analysis and consolidated financial statement. These documents will be filed with the Canadian Securities, Regulatory Authorities and the U.S. Securities Commission and are available on our website at www.gildan.com. With me on the call today are Glenn Chamandy, our President and Chief Executive Officer and Laurence Sellyn, our Executive Vice President and Chief Financial and Administrative Officer. Our call today will begin with Laurence taking you through our first quarter performance and our business outlook, followed by a question-and-answer session during which Glenn and Laurence will respond to your question. Before we begin, please note that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties, and other factors, which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company's filings with the U.S. Securities and Exchange Commission and Canadian Securities Regulatory Authorities that may affect the company's future results. And with that, I'll turn the call over to Laurence.
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: Good morning. Today, we reported our results for the March quarter, which were as projected in our previous guidance. We also continue to make progress against all of our long-term value drivers and to position both of our operating segments for long-term growth. As previously projected, we reported consolidated EPS of $0.24 a share post-split for the March quarter, compared to $0.32 per share in the March quarter of last year. Sales revenues were $636 million, up 16% from last year. However, the EPS impact to the higher sales revenues was more than offset by lower gross margins and increased SG&A and financing expenses. Our EPS guidance range provided in February was $0.23 to $0.24 per share. Net sales for Printwear increased by 14% to $431 million, as strong growth in unit sales volumes and favorable product mix more than offset the impact of lower selling prices, following the strategic pricing actions taken by Gildan in December. In the U.S. market, we achieved good growth in sales of high-valued activewear products, partially due to seasonally colder weather and increased our penetration in fashion basics, including one month of impact of the acquisition of Comfort Colors. In addition, sales growth in the quarter for Printwear benefited from the timing of seasonal inventory replenishment in the U.S. distributor channel after higher-than-normal seasonal destocking in the December quarter. Inventories in the U.S. distributor channel are in good balance. We also increased our penetration of international markets, including new markets in Latin America. International Printwear sales were up by 25% in spite of the impact of currency devaluation. Operating margins for Printwear in the March quarter were 19.5% compared with 24.4% in the corresponding quarter of last year. The decline was due to the timing of the Printwear selling price reductions, which were implemented in advance of the projected manufacturing cost reductions from the company's capital investment projects, and while we are still consuming high-cost cotton in inventories. In addition, operating margins for the quarter were negatively impacted by the decline in international currencies relative to the U.S. dollar. Sales revenue for Branded Apparel grew by 20% compared to the March quarter of last year. The increase was due to new branded programs and new retail distribution for the Gildan and Gold Toe brands. Growth in sales for the Under Armour and Mossy Oak licensed brands, increased sales to global lifestyle brands and the acquisition of Doris, partially offset by lower sales of private label programs and inventory destocking by retail customers, which also limited our ability to fully satisfy customer demand. Sales of Gildan-branded products increased by approximately 20%. Sales of Gold Toe-branded products increased by 12%. Growth in both brands included new programs in the activewear category. Operating margins for Branded Apparel were 1% compared with 8% in the March quarter of last year. The low operating margins were due to the consumption of high-cost opening inventories, which included transitional manufacturing inefficiencies incurred in 2014 during the ramp-up of new retail products, as well as the impact of higher cotton costs. As discussed, results in the first half of calendar 2015 are being negatively impacted by the misalignment between the timing of lower Printwear selling prices and the benefit of lower manufacturing and cotton costs. We expect to resume our trajectory of EPS growth in the second half of the calendar year, when we begin to benefit from manufacturing cost savings from our yarn-spinning facilities and other capital investment projects and fully benefit from the decline in the cost of cotton. We are projecting a significant reduction in manufacturing costs in the second half of calendar 2015 compared to the first half, as well as compared to the second half of last year due to the non-recurrence of transitional manufacturing inefficiencies being consumed in inventory in the first half, as well as the savings from capital investment projects. Consequently, operating margins for Printwear in the second half of the calendar year are projected to be more in line with historical levels. We also expect to achieve steady improvement in operating margins for Branded Apparel, both due to higher gross margins and volume leverage of SG&A expenses as a percentage of sales. Also, SG&A expenses in Branded Apparel will be positively impacted as we complete the integration of recent acquisitions. We are now projecting to achieve EPS of $1.50 to $1.55 for the full calendar year, compared with our previous guidance range of $1.50 to $1.57. The narrowing of the full-year outlook is due to the further decline in international currencies versus the U.S. dollar. We have now hedged against further currency exposure in order to avoid the need for further selling price increases in Europe this year. EBITDA for calendar 2015 is now projected to be $525 million to $540 million. We're expecting to generate strong free cash flows during the balance of the year, including the impact of projected reductions in inventory levels. Inventory valuations will also be positively impacted by the declining cost of cotton and lower manufacturing costs. We are projecting EPS of $0.43 to $0.45 for the June quarter on projected sales of approximately $750 million, compared with adjusted EPS of $0.47 per share in the June quarter of last year on sales of $694 million. The June quarter of calendar 2015 includes fewer shipping days than the corresponding quarter of last year, as the June quarter of last year included the extra week, which occurs every sixth year to realign the company's 52-week fiscal year with the calendar year. Compared with the June quarter of last year, the benefit of higher unit sales volumes in both operating segments, lower manufacturing costs for Branded Apparel and lower cotton costs are projected to be more than offset by lower Printwear selling prices, the currency impact on international Printwear selling prices and higher brand marketing and advertising expenses. During the first quarter, we continued to make positive progress in implementing the strategies, which we have communicated to drive our long-term earnings growth. Firstly, we have projected continuing long-term unit-volume growth in our historical core Printwear business, even though we already have the leading share in the U.S. distributor channel. We believe that our recent strategic pricing actions have been successful in stimulating the continuing growth of the Gildan brand in the U.S. and Printwear and positioning us to increase our penetration in other segments of the U.S. Printwear market. In addition, the acquisition of Comfort Colors, the repositioning of the Anvil brand, and the introduction of new high-value products have positioned us for growth in the fashion basic segment of the market. We are maintaining our brand growth momentum in Europe. We are continuing to expand our distributor network in Asia Pacific, and we are entering new markets in Latin America. Our main growth strategy is to continue to develop Gildan as a leading consumer brand for basic family apparel in North America. We have strong momentum and continuing to gain new programs and more shelf space in our existing retail distribution and are making good progress in penetrating new retailers. Further new strategic retail programs are currently being negotiated for fiscal 2016. We're achieving success in converting retailer private label programs to the Gildan brand. By the end of 2015, private label programs will represent less than 10% of our sales to retailers. We are also continuing to show successive monthly increases in our leading market share in Gold Toe men's socks and achieve further penetration in expanding the Gold Toe brand for ladies' socks. In addition, we are successfully levering the Gold Toe brand in activewear and underwear. We are also becoming a full-line supplier of branded basic family apparel, including leveraging the Doris acquisition and brands in the U.S. market. Both retailers and consumers have recognized our value proposition of lower prices combined with better product quality and product features. We are also supporting our brands with investment in brand marketing and advertising. We are very pleased with the initial impact of our agreement with Blake Shelton to promote the Gildan brand. Blake resonates strongly with our target consumer market in North America and response in social media to the first two commercials for Gildan-branded underwear, featuring Blake, has been very positive. One of the first commercials aired in The Voice on Monday of this week. We will also be featuring Blake on in-store pallets and retailers. Thirdly, while we are supporting our brands in Printwear and Branded Apparel, we're continuing major capital investments in new manufacturing facilities and major projects for cost reduction and better product technology. We are progressing with our plans for the two new greenfield textile facilities in Honduras and Costa Rica, as well as for projects for cost reduction and innovative product technology in Rio Nance. We have so far committed to invest approximately $380 million in state-of-the-art, modern vertical yarn-spinning facilities, which will further reinforce our global low-cost manufacturing advantage and further differentiates our product quality and innovation. Capital expenditures in calendar 2015 are projected to be $250 million to $300 million as we complete the bulk of the capital investment in our yarn-spinning facilities in North Carolina. The second Salisbury facility has begun production, and the facility in Mocksville, North Carolina is scheduled to begin production in the third quarter. We are still on track to deliver our projected annual cost savings of approximately $100 million by the end of 2017. Our fourth value driver, in addition to our projected organic sales growth in Printwear and Branded Apparel and our capital investments in our vertical supply chain, is our use of excess cash flow to further enhance our EPS growth and return on capital. Once we have completed our investments in vertical yarn spinning, our annual capital expenditures will revert to a lower level, while at the same time we expect to continue to increase our EBITDA as a result of our growth strategies and cost reduction initiatives. Consequently, we expect to generate significant annual free cash flows after capital investments. We have stated that we will continue to seek further new acquisitions such as Gold Toe, Anvil, Doris, and Comfort Colors, which complement our organic growth strategies and lever our competitive strengths as well as seek to continue to grow our dividend. We continue to be confident in our outlook for earnings growth in 2016 due to volume growth in both operating segments, manufacturing cost reductions and lower cotton cost. Finally, Glenn, myself and the team at Gildan are excited to welcome Rhod Harries as our new CFO. Rhod has enjoyed a successful career path in two major global corporations. In addition to his strong finance background, he has senior operating experience having spent approximately five years in the role of Chief Commercial Officer at Alcan. Rhod is expected to join Gildan during the third calendar quarter after completing his contractual obligations to support an orderly transition in his current role. The likelihood is that I will still be involved in our next quarterly call in July and I will stay on for a couple of months after Rhod joins us to support his integration into Gildan and ensure an orderly transition in my responsibilities and relationships.
Sophie Argiriou - Vice President-Investor Communications: Thank you, Laurence. That concludes our formal remarks. Before moving to the Q&A session, we ask that you limit the number of questions to two in order to give everyone the opportunity to ask a question. We will circle back for second round of question if time permits. I'll now turn over the call to the operator for the question-and-answer session.
Operator: Thank you. We will now begin the question-and-answer session. And our first question comes from Anthony Zicha from Scotiabank. Please go ahead.
Anthony Zicha - Scotia Capital Markets: Hi. Good morning. Glenn, could you provide us some color on your new branding initiatives and kind of the outlook on the back-to-school season and point-of-sale progress?
Glenn J. Chamandy - President and Chief Executive Officer: Okay. Well, as Laurence outlined on the call, I mean, obviously, we've continued to focus on driving our Gildan brand strategy, as well as the other brands in our portfolio. Look, we've had a great success. Our brand is driving and resonating and increasing significantly on a year-over-year basis. We're going to support obviously all of our brand strategies with the advertising with Blake within TV, in-store displays, sponsorships, signage. It's really going to be, I think, a turning point for us this year in terms of really the awareness. And that's going to be the real next big focus for us is to start measuring our brand awareness and seeing the momentum in our branding, as well as our market share. Because of our branding and our success in Gildan, we've been successful in converting a lot of our private label programs to the Gildan brand. And that's going to be a huge opportunity for us from two points. One is that it's going to continue to support our whole momentum. But as we look at the visibility on the floor, Gildan's going to be more prominent displayed as we go into it, not just one department, but all departments in all the areas of mass in all the product categories, which is underwear, socks and activewear, which is really our core competency. So, we're pretty excited and we have great brand positioning. We see that we've been able to – through our brand and the development of Gildan, we've expanded into new shelf space. We've opened up two new mass retailers this year in underwear under Gildan. We've got new activewear programs, and we've got great momentum. And it's a result of the over $120 million of new programs we've obtained for fiscal 2015, and I think more importantly, everything we're doing right now is going to really support our lead into 2016 and that's going to be the key for us. And 2016, we think, is going to be a fantastic year from all points of view as well.
Anthony Zicha - Scotia Capital Markets: Okay. Great. And with reference to your international markets, you recorded good growth. Could you give us some more color on Europe, Asia? And now, you're targeting Latin American countries, like, what's the difference in LatAm and which countries are you targeting? Thank you.
Glenn J. Chamandy - President and Chief Executive Officer: Well, right now, I mean, our focus has been obviously, in Europe, UK, which is primarily our first big international market. We have a big business in Mexico. Asia is growing dramatically for us. I mean, I think, China, by the end of this year, will be our third largest market. And we've opened up an office and distribution in Japan, we're in Australia. And like everything else, we're looking for markets so we can continue growing. I mean, Latin America is obviously a growth opportunity for us, and Colombia and Chile are markets that we can ship to basically on using our effective supply chain. So, we're focusing on all markets globally, internationally. And that's resulted in the 25% growth in sales despite the fact that we had some negative impact on currency. So, we're pretty excited about the future growth, which has been growing at a regular clip. And we're planting seeds in not just one market, but in all these markets. So, it's a focus of continued growth for us.
Anthony Zicha - Scotia Capital Markets: Okay. Thank you very much, Glenn.
Operator: Thank you. And our next question comes from Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen D. MacLeod - BMO Capital Markets (Canada): Thank you. Good morning. Just following up on the Branded Apparel side, you mentioned new distribution as a driver of Q1 sales going forward. I was wondering if you could talk about that, where that new distribution is coming from. And then secondly, where your new programs are leveraging Doris in the U.S.
Glenn J. Chamandy - President and Chief Executive Officer: Okay. Well, the new programs actually are probably going to benefit more the second half of the year. A lot of the new programs we've obtained are being set during Q2. So, we'll feel the full impact of the benefit of these new programs as we go into Q3 and Q4. Our market share in underwear for example is roughly over 7%. We're the third largest brand in the channel, not just in unit volume, but as well in dollars now. And we'll see that expand as we go through the year and these new programs of underwear which is a combination of two new retail, mass market retailers, as well as additional shelf space in our existing mass market retailers. And as we projected earlier in the year, our objective is to get our share up to 10% by the end of 2015 and that will continue to grow as we go into 2016. Yeah. The other part of your question was the – and as far as expanding into other channels of distribution by levering the Doris acquisition, we've expanded our distribution into food and drug, where we've obtained a new program there, but not just in the products in which Doris sells in terms of sheer, and levering their brands which is Secret Silkys and Kushyfoot, but we also levered that expertise to get Gildan underwear into food and drug as well, which is a new channel of distribution for us in the U.S. We have a dominant position here in Canada.
Stephen D. MacLeod - BMO Capital Markets (Canada): Great. So, that's actual Gildan product being sold through.
Glenn J. Chamandy - President and Chief Executive Officer: Yeah. It's going to be a combination of Gildan in the underwear category. It's going to be Secret Silkys and Kushyfoot in the sheer category. So, that's the key with, as we continue to look at rounding off our full family brand of apparel, basically, is to make sure that we're in every product category. And that was the strategic initiative behind Doris. It was a combination of their brands, their expertise, and that allowed us as well to lever new distribution, our Gildan brand. We also levered sheer products into our Gold Toe ladies. So, we're looking to ways to grow all of our brands using the different product categories that we have through the acquisition of Doris.
Stephen D. MacLeod - BMO Capital Markets (Canada): Great. Thank you. And then just finally, I was wondering if you could talk a little bit about the Printwear segment related to the pricing actions that you took. I know we saw some volume growth, but you see any disruption on the screen print side? And then, that's it. Thank you.
Glenn J. Chamandy - President and Chief Executive Officer: Well, look, all I can tell you is that, I mean, our pricing action is obviously our homerun as far as we're concerned. It reasserted our leadership position in the industry. We accomplished all of our goals. Mainly, we've seen good POS growth in Q1 even despite the cold weather. And we've had even better POS towards March and April. But we continue to grow quite significantly over the last year our POS. And I think what it's positioned in terms of developing and driving our leadership position, as we explained in the past, I mean, the market is broken into three components, the basics, which is around 60%, you got fashion and then you got performance and sports. What has happened, I think, is that we're now driving – and because of our leadership position, our pricing strategy, our everyday low prices, not only are we continuing to grow in the basics segment, but we're actually significantly growing in those other areas, which is really the growth opportunity where we're underdeveloped in the marketplace. So, all in all, I can say that we've reasserted ourselves. We're very excited. And the only way that we can express our momentum in Printwear is that our strategy was a homerun and we're very excited.
Stephen D. MacLeod - BMO Capital Markets (Canada): Great. Thank you very much.
Operator: Thank you. And our next question comes from Sabahat Khan from RBC Capital Markets. Please go ahead.
Sabahat Khan - RBC Dominion Securities, Inc.: All right. Thanks. Just following up on the Printwear side, can you maybe talk about your progress specifically on the fashion basics side and how the Comfort Colors acquisition is performing? I know you've only had it for a month in the last quarter, but if you could comment on that.
Glenn J. Chamandy - President and Chief Executive Officer: Well, sure. I mean, look, it's early days for us in Comfort Colors. And maybe I'll start off with Anvil. I mean, what we did is we repositioned Anvil into being more of a contemporary styling. So, we have – in our branding strategy, Gildan is more basic family apparel. Anvil is more contemporary, younger. It's got a different feel, a little bit more fashion looking. And where Comfort Colors fits in basically, it's just a completely different product category because of the nature of the garment dyeing, it's more nostalgic, it's weathered, and it's got a different appeal, but it's really focusing in that fashion segment. The transition has gone very well for us. I mean, sales are up pretty good. I mean, a little bit better than we anticipated although it's only been one month, but one of the things that's happened is that the company before our purchase has been capacity restrained, part of our integration is that we've started to use our capacity in Honduras to support some of the manufacturing, which will enable us to maximize the sales opportunity as we go through this year. So, we expect to have a pretty good sales increase. And the great thing about Comfort Colors is that it's an acquisition for us that will be integrated relatively seamlessly. As we speak today, only after six weeks of the acquisition, all of the order cash process has been 100% integrated into our operations. But as we go through the balance of this year, most of the acquisition will be complete. And as we go forward, I mean, we expect to have a long-term accretion in Comfort Colors of about $0.20. So, we're very excited. We think there's growth potential. And one of the areas we also are looking to grow is to add new products that under the brand that they didn't had before. So, overall, we're very excited about the acquisition and the outcome so far.
Sabahat Khan - RBC Dominion Securities, Inc.: All right. Thanks. And just quickly on the branded side, you highlighted some inventory destocking on the retailers in the Q1. Can you just comment on if you're starting to see that turn in Q2? And just a commentary on what the retailers are seeing overall in the retail environment?
Glenn J. Chamandy - President and Chief Executive Officer: Yeah. Well, I think, retail in Q1 was mixed, but I think everybody is cautiously optimistic. I mean, April, I think is turning the corner a little bit. Everybody's focus is on the consumer, consumer's got more liquidity in his pocket due to the lower energy prices, gas, et cetera. So, I think that everybody is cautiously optimistic. I mean, the weather was brutal in Q1, in retail, there's a lot of missed days because of all the storms especially in the East Coast. However, our product has been selling very well. What happened I would say in terms of the destocking, we were probably more severely hit from the destocking that happened because of the amount of sell-through and the performance of – productivity of our products in retail. And so we think we missed the share, as well as the destocking of the retailers, not only that they bring inventories down, but I think it actually affected our share which we'll see a big lift as we go forward into, I think, Q2 and Q3, especially as we set the new programs and the new additional space. So, overall, I think we're positioned well. The destocking happened but – and sometimes when you lose share, you lose, but at the end of the day we still grew significantly in all of our categories and have a great momentum both in socks and in underwear.
Sabahat Khan - RBC Dominion Securities, Inc.: Thank you.
Operator: Thank you. And our next question comes from Martin Landry from GMP Securities. Please go ahead.
Martin Landry - GMP Securities LP: Good morning. With regards to your Branded Apparel, the margins were a little lower this year on a year-over-year basis. And I think you're mentioning that Q2 should see an increase on a year-over-year basis. I'm wondering what's your long-term goal for operating margins in the Branded Apparel and how fast or how long will it take you to get there?
Glenn J. Chamandy - President and Chief Executive Officer: Well, I would say look at – I mean the good news is I would say is that we have visibility in terms of our margin improvement as we go forward obviously. And we'll have a steady increase in our margins through the calendar year and into 2016. We basically – long, long-term, my objective is to have the same type of margins in Branded as we have in Printwear. I mean, that's really the end game for us as we lever everything that we've done as a company. There's no reason for us not to. It's the same competitors, same success factors in retail as there is in wholesale. So, that's our long-term goal. Right now, we're building the business. As what's happening to us short term, we've made major strides last year in building our manufacturing capacity, which is the main reason of the margin reduction in Q1. And the reason why we improve is as we flow through and we have stability in our manufacturing that will by itself increase our margins. And as we get the cost reductions from our manufacturing and our lower raw material cost, that will continue to improve margins in Q3 and Q4. The next big wave of obviously margin increase for us as we go forward into 2016 will be mix as we continue to get new shelf space, add more products. As you get more products, you get better mix. We're also going to be able to leverage our SG&A. We're investing heavily in advertising. I think in Q1 year-over-year we'll be $5 million higher. As well in Q2, we'll be about $5 million higher on a year-over-year basis. But as we continue to see these investments pay off and we get more sales and we lever our SG&A that will also expand our margins as we go forward. So, I think in 2016, we're going to have good gross margin expansion because of our cost initiatives and lower cost raw material. Mix will provide some margin expansion and then we'll lever the SG&A. And longer term, we'll continue to build our brand positioning in the market as we maximize our distribution. And our focus right now is making sure that we maximize our distribution with all of our product categories in all of our channels of distribution over the next couple of years. And then as we continue in the long, long-term, I would say that we expect to have equal margins in Branded as we can see in the Printwear.
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: I'll just add that we have good visibility on the drivers of margin improvement from Q1 to Q2 because of having flushed through the manufacturing inefficiencies in our opening inventories. Manufacturing cost will be favorable year-over-year in Q2 versus unfavorable in Q1, plus we'll also benefit from the declining cost of cotton.
Martin Landry - GMP Securities LP: Okay. That's helpful. And lastly, with regards to your three-year target of $100 million in cost savings, could you update us as what has been realized out of the $100 million to-date?
Glenn J. Chamandy - President and Chief Executive Officer: Well, we had about $25 million.
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: Last year, yeah.
Glenn J. Chamandy - President and Chief Executive Officer: Yeah. $25 million last year. We have a big chunk of it coming this year and the balance will come in 2017. And the big chunk of what will impact 2016 will be in the second half of 2015 basically as – and that's the main reason for the margin improvement in...
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: $25 million this year, in 2015. 2016, we'll benefit from the yarn-spinning facilities and the balance in 2017.
Glenn J. Chamandy - President and Chief Executive Officer: Yeah. Couple of years (35:08).
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: (35:11) next year.
Martin Landry - GMP Securities LP: Okay. All right. Thank you very much.
Operator: Thank you. And our next question comes from Chase Bethel from Desjardins Securities. Please go ahead.
Chase L. Bethel - Desjardins Securities, Inc.: Hi. Good morning. Just a follow-up on some of the commentary you gave around successfully converting private label. As I went around at Walmart, I noticed a bit more Gildan stocks. And so, could you speak to whether your comment relates to what you're doing with the stock at Walmart? And have you taken essentially – like how much space have you taken in stocks?
Glenn J. Chamandy - President and Chief Executive Officer: Well, what we're doing – in terms of what we're describing as converting our private label into our Gildan brand, it's not necessarily space expansion at this point, but it's converting the existing space that was in private label into our brand. Now, the byproduct of that is that our brand has proven to be more productive than the space we had as we were in private label and that's what we've seen so far. So, net result is we expect to have better POS from driving our brand strategy than we had with the private label. Ultimately, as we continue to drive our brand strategy, we expect to – that will lead to additional space gains as we go forward into future.
Chase L. Bethel - Desjardins Securities, Inc.: Okay. Thanks. And then, I had a follow-up just on, I saw a news article that seems to indicate that there was a closure of New Buffalo. So, just wanted to understand if that may be related to what you're planning to do with Rio Nance 6, or just is this in anyway a signal of your outlook for partnering with lifestyle and athletic brands or is it just, I don't know, can you just speak to it?
Glenn J. Chamandy - President and Chief Executive Officer: No. That was just basically – we have through the acquisition of New Buffalo, they had the two screen printing facilities, one large, very new technology in Honduras; and one very old facility that they ran legacy facility that ran in Buffalo. There was approximately 83 people left in the Buffalo location. We have, I think, around 400 people in Honduras. Just give you an idea in scale. So, that was always part of our thesis was to close Buffalo and move the remaining capacity to Honduras for cost reduction and synergy reasons. And that was really a timing issue with that whole article basically when it broke.
Chase L. Bethel - Desjardins Securities, Inc.: Okay. Thanks.
Operator: Thank you. And our next question comes from Kenric Tyghe from Raymond James. Please go ahead.
Kenric S. Tyghe - Raymond James Ltd. (Broker): Thank you. Good morning. Glenn, nice to see the men's underwear share where it is at the 7.3% you reported. Could you share your thoughts on conviction levels around your double-digit, so the share target, how it's tracking against those targets? And then, I guess, the obvious follow-on to that would be, what are the biggest challenges or opportunities in driving share within the broader underwear category beyond the success that you're seeing in men's?
Glenn J. Chamandy - President and Chief Executive Officer: Well, I mean, the way we're looking at today is that the base we have at the 7% is somewhat based on the shelf space we have today and the current performance of our products in the marketplace. As we expand our distribution with new retailers and new shelf space, that in itself will give us the lift to get to the rates that we projected, at least the 10% run rate. I think we could have done even better with – wouldn't (39:07) occur the destocking in the in-stock levels we had, I think our share would have been even higher than the 7% in this quarter. So, we're pretty confident in our momentum right now in terms of where we're going just on the physical shelf space gains, as well as new customers we're bringing on to get us to where we need to go. We're going to continue to look at new retailers. We're in negotiation to look at new opportunities, I mean, that will continue our momentum growth into 2016. And we're just at the infancy stage, really, if you look at the space that we have in every one of our retailers, we're sort of getting in today, and the growth has been on limited shelf space. And then as we are – success has proven itself and our brand continues to resonate with consumers and our sell-through is as strong as it is, that's going to lead to new product offerings within the existing retailers and new retailers. And so that's going to continue our momentum and continue driving our shelf space and our market share from 2015 into 2016, and not just grow in terms of the underwear but also in socks. The conversion of the private label in Gildan socks as well as the combined brands we have in Gold Toe, we will be a leading provider of branded socks in the U.S. market come 2016. And that will equate to more consumer awareness. And then, again, we'll lever that into really truthfully is what's Gildan skill-set is not underwear or socks, it's actually activewear. We're the largest activewear provider probably in the world today and that's the area that we're least developed in retail. So there's a lot of momentum that we have. It's just a question of building our platform, taking one day at a time. With a $120 million of new programs we have this year, that's going to lead to obviously strong growth in 2016 and beyond. So, we're very excited. And we're making the right investments. So we're not just making the investments and continue driving our low-cost manufacturing, widening the gap against our competitors, we're going to spend $300 million approximately this year, we spent almost $1 billion over the last three years, but we're also investing on the front end of our business in terms of our brands and our advertising. We're making a major commitment to continue advertising with Blake, but we're not just stopping there. We did acquisitions to get ladies brands, new product categories. So, whatever we need to do to continue driving the company's success both from an innovation, cost or brand perspective, the investments we're making I think will pay off as we go into the future.
Kenric S. Tyghe - Raymond James Ltd. (Broker): Great. Thank you. And then just with respect to that widening manufacturing cost advantage, could you just walk through what your thinking is around how you approach? Obviously you're happy with the returns you're seeing, on the margin you're investing in the retail channel. Could you give some idea as to your thinking around what your plans would be on that margin or on rather the excess margin if you want to define it as that given your manufacturing cost advantage?
Glenn J. Chamandy - President and Chief Executive Officer: Do you mean the increased margin we're going to have from our manufacturing initiatives or the existing margins itself?
Kenric S. Tyghe - Raymond James Ltd. (Broker): Yes. Very much for the increase, Glenn, my apologies, yes.
Glenn J. Chamandy - President and Chief Executive Officer: Yes. Okay. Well, if you look at it, historically the company has always followed the path where as we continue to make significant investments in low-cost manufacturing, we've always invested either into product, price and in certain cases, margin. So, there will be a combination. We have a huge amount of cost reductions coming our way. Some of that we've already used into our Printwear pricing. We're continuing to look at ways to increase our product offering to our customers and enhancing the quality and the value that we offer to consumers. And ultimately, we're going to continue to drive a margin expansion and like what I said earlier is that we've had very good margins in wholesale, even despite the price reductions. As we exit 2015 in our Printwear business, our margins will be at historical levels. And as we continue to grow our retail in the future by combination of these cost reductions, lower-cost cotton, levering our SG&A, mix, we project that we will have similar margins in Branded in the long run as we do in Printwear, which will be really the catalyst of future earnings growth in the company in the next three, four, five years to come.
Kenric S. Tyghe - Raymond James Ltd. (Broker): Great. Thanks. And I'll leave it there.
Glenn J. Chamandy - President and Chief Executive Officer: Thank you.
Operator: Thank you. And our next question comes from Derek Dley from Canaccord Genuity. Please go ahead.
Derek Dley - Canaccord Genuity Corp.: Yes. Hi, guys. More of a housekeeping question. You guys were targeting cycling through your high cost cotton inventory by the end of Q2. Is that still on track?
Glenn J. Chamandy - President and Chief Executive Officer: Yes.
Derek Dley - Canaccord Genuity Corp.: And what was your realized cotton cost during the quarter?
Glenn J. Chamandy - President and Chief Executive Officer: You know what, I don't want to give that out, but I would tell you one thing is that, and maybe just give your question a little bit differently, but at first half our cotton cost, obviously, are significantly higher than they will be in the second half our cotton. But as we exit this year, which will be a big plus for us as we move into 2016, a lot of that cotton at the current levels will be on our balance sheet, and in the first half of next year we'll have significantly lower cotton than we had this year. I think this is maybe different way of answering your question.
Derek Dley - Canaccord Genuity Corp.: No. That's great. That's very helpful. And just one more, if I could. In terms of the pricing at retail, is it in line with where cotton prices are at currently? Do you anticipate any pricing actions over the next six months or so?
Glenn J. Chamandy - President and Chief Executive Officer: Well, we've never raised our prices during the whole cotton bubble anyway. So, we've always had very aggressive pricing at our retail programs we have currently. We have a significant price advantage I think in the market in every one of the categories in which we support. So, for us, part of our margin expansion will be the windfall of lower raw material cost and our manufacturing savings for the second half of 2015 and into 2016.
Derek Dley - Canaccord Genuity Corp.: That's great. Thank you very much.
Glenn J. Chamandy - President and Chief Executive Officer: Thank you.
Operator: Thank you. And our next question comes from Vishal Shreedhar from National Bank. Please go ahead.
Vishal Shreedhar - National Bank Financial Brokers: Hi. Thanks for taking my questions. Just a quick one here. With the new program wins indicated in Doris in the U.S. in the Gildan-branded products, are those additive to 2015 earnings relative to what you gave us, call it, last quarter – the guidance that you gave us last quarter?
Glenn J. Chamandy - President and Chief Executive Officer: There were a couple of new programs, but they're still in our overall mix, let's say, for example, because of the timing of when they'll be implemented during the year, so they won't be that accretive for us this year, but they'll be really supporting next year. So, everything that we've committed to the market. which is roughly about $120 million in new wins, it's in our forecast. We're still going after other programs that still could materialize in the later half of this year, but there won't be a major impact to our sales number because as you set the floor, you won't have that on an annualized basis. So, there were a couple new programs. Obviously, the food and drug thing was new. It wasn't in our forecast in February. But by the time we set the floor, it won't be material to our earnings this year, but will support next year.
Vishal Shreedhar - National Bank Financial Brokers: What is the annualized magnitude of expected new wins, the sales magnitude?
Glenn J. Chamandy - President and Chief Executive Officer: Well, I think you have to look at is that most of the programs that we're reaching today would say that the $120 million we're probably getting only about a half a year impact on those. So you probably would say that of the $120 million of new wins, you have at least $60 million of that which would be going into 2016 as we annualize the actual timing of the programs because really everything we're doing today is all programs we had last year. I mean all of our new programs are starting basically in May and June as retailers that's when they typically set their floors for the new season.
Vishal Shreedhar - National Bank Financial Brokers: Okay. I was referring to the new programs that you announced in this quarter.
Glenn J. Chamandy - President and Chief Executive Officer: Yes. So, I would say that if you just take the whole $120 million, I would say that just as a total, I won't give one program at a time, I would say that based on all of our new wins for 2015, they will support roughly about $60 million on a year-over-year basis for 2016 as we annualize them.
Vishal Shreedhar - National Bank Financial Brokers: Okay. FX for the year, incremental FX, is it $0.02 headwind?
Glenn J. Chamandy - President and Chief Executive Officer: Yes.
Vishal Shreedhar - National Bank Financial Brokers: ...change in FX? Okay, that's it for me. Thanks.
Glenn J. Chamandy - President and Chief Executive Officer: Thank you.
Operator: Thank you. And our next question comes from Andrew Burns from D.A. Davidson. Please go ahead.
Andrew S. Burns - D.A. Davidson & Co.: Thanks. Good morning. I was hoping you could expand a little more on the activewear opportunity in Branded Apparel. Any program wins to call out in 2015? And you mentioned both Gildan and Gold Toe. I was hoping for just a little more incremental color there and how you grow that over the next several years. Thanks.
Glenn J. Chamandy - President and Chief Executive Officer: Well, I mean at the end of the day you look at it, we've driven our Gildan brand strategy really with implementation of our new underwear programs. We've now converted a lot of our private label sock programs from private label to Gildan as we continue to resonate our brand strategy and invest in our advertising and (49:20) strength of our brand. The big area of opportunity for us, which is still in its beginning stage is to continue looking at more activewear-type programs, which is really our core competency, and that's what I said. So, activewear is a huge market at retail and it's underdeveloped for us as we speak today. And we don't have a lot of program wins in our forecast for 2015, but objectively as we go into 2016 and beyond, it's an area of opportunity of growth for the company. So, if you look at the growth of our mass market opportunity in retail, we got to continue taking more share in socks and underwear as well as continuing growing new programs in activewear. And these things combined will give us a growth trajectory not just for 2016 but for 2016, 2017 and beyond as we continue to take more programs and more shelf space.
Andrew S. Burns - D.A. Davidson & Co.: Thank you. And could you provide any color in terms of how the Gildan Platinum programs have performed and your opportunity to grow the Platinum line? Thanks.
Glenn J. Chamandy - President and Chief Executive Officer: Well, look, Platinum for us has started off last year. It was very successful. We're actually having some tweaks to the program, I think, which we mentioned last February, that will continue to – which we think we'll tweak it and actually improve on. We have some new technologies coming out and a little bit of new packaging. So, we're going to tweak it as we go into this year and, hopefully, it will continue to be as successful as it's been in the past.
Andrew S. Burns - D.A. Davidson & Co.: Thanks and good luck.
Glenn J. Chamandy - President and Chief Executive Officer: Thank you.
Operator: Thank you. And our next question comes from Mark Petrie from CIBC. Please go ahead.
Mark Petrie - CIBC World Markets, Inc.: Hey. Good morning. I just wanted to ask about the capacity growth. And as we approach 2016, could you just talk a bit about the timing on Rio Nance 6, when you expect that to start production, how we should look at the ramp-up? And then into 2017, same question for the Costa Rica facility.
Glenn J. Chamandy - President and Chief Executive Officer: Okay. Well, our objective on Rio Nance 6 is to come on in 2016 most likely around the end of our third quarter. And I would say probably 12 months after that will be when we expect Costa Rica to come on. So, in both cases, one of the reasons why our inventory is higher than it needs to be right now is that we're projecting higher inventories to support 2016 until our Rio Nance 6 facility comes on. And then Rio Nance 6 will come on in our third quarter and start supporting our sales from that point on. And you'll see a big reduction in our inventories during 2016 as we go through Q1 and Q2. And then when Costa Rica comes on, obviously, that will be capacity that will be enough to support significant growth from that point on because of the size and magnitude of what Costa Rica is going to be.
Mark Petrie - CIBC World Markets, Inc.: Okay. Thanks. And it sounds like the growth in Asia has been pretty strong. How do you think about your capacity in Bangladesh today?
Glenn J. Chamandy - President and Chief Executive Officer: Well, we've actually grown our capacity in Bangladesh, and the thing about Bangladesh is that up until now, it's not just been supporting our Asian market, but we've also been using some of their capacity to support Europe. So, we can support Europe from either Bangladesh or Central America. So, as we continue to grow in Asia, what we're doing is we're just allocating more capacity here to Central America to service Europe. So, we're pretty comfortable. But saying that, we're also looking to ways to expand Bangladesh as we speak, not so much because of the overall capacity, but as we keep developing these markets, we're looking to improve our product mix. So, primarily, what we make today in our existing facility is basic T-shirts and we're in the process of expansion there to make golf shirts and fleece and other products that will continue to support the overall mix in Asia.
Mark Petrie - CIBC World Markets, Inc.: Okay. Thanks. And, Laurence, you talked about the substantial growth potential in free cash flow as some of these capital investments roll off or as you move through this significant investment period. When do you think it's realistic that that would actually happen?
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: Well, firstly, we're going to generate very strong cash flows for the second half of this year due to our strong EBITDA, reducing inventories and the cost in inventory and generating positive cash flow for working capital, and lower CapEx in the first half of this year as we ramp up our yarn spinning facilities. So, as we go forward, our EBITDA is going to continue to increase as a result of our growth strategies and our cost reduction projects. And our CapEx will revert to a more normal level as a result of having completed the vertical integration. So, I'd say in 2016, we'll finish the investments in the yarn spinning, which is why we're projecting that the $100 million of cost savings will be in place by the end of 2017.
Mark Petrie - CIBC World Markets, Inc.: Okay. Thanks.
Operator: Thank you. And our next question comes from Jim Duffy from Stifel. Please go ahead.
Jim V. Duffy - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning. A couple questions on the branded margins. The first question you may have addressed, but I want to make sure I'm clear. Laurence, where are you in the consumption of higher cost branded inventories related to the manufacturing inefficiencies? Are you through that after the first quarter or is there some lingering impact of that into later quarters in the year?
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: There will be a little bit in Q2. But as I've said, we're looking at good improvements in our margins in Branded Apparel in Q2 because the year-over-year impact of manufacturing cost will be positive in Q2 as opposed to negative in Q1. Plus, we'll also benefit in Q2 from the declining cost of cotton.
Jim V. Duffy - Stifel, Nicolaus & Co., Inc.: Very good. And then, secondly, I believe you said you expect Branded segment operating margins to return to historical levels in the second half of the year. That's a wide range. Can you be more specific?
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: Sorry. I said that Printwear margins would return to historical levels as we get the benefit of the manufacturing cost reductions and lower-cost cotton, which were already passed through into the lower pricing and costs will be in alignment and will be back to our historical levels. And then I said that Branded margins will improve in Q2 versus Q1 and continue to increase in successive quarters.
Jim V. Duffy - Stifel, Nicolaus & Co., Inc.: Okay. As we look towards the back half on the Branded margins, I guess what I'm after is can you give us a little more clarity on where you expect those margins to fall out in the second half of the year?
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: Well, look, we've given guidance for Q2 and the margins in Branded Apparel that are implicit in that guidance would be high single-digits, and I don't want to give specific margins for the third quarters and fourth quarters. But we'll increase in each successive quarter.
Jim V. Duffy - Stifel, Nicolaus & Co., Inc.: Fair enough. Thank you.
Laurence G. Sellyn - Executive Vice President, Chief Financial and Administrative Officer: Thank you.
Operator: Thank you. We have no further questions at this time. I will now turn the call over to Ms. Argiriou for closing remarks.
Sophie Argiriou - Vice President-Investor Communications: Okay. Thank you everyone for joining us this morning. We look forward to speaking with you soon. Thank you.